Operator: Welcome to the fourth quarter earnings conference call for Amphenol Corporation. (Operator Instructions) I would now like to introduce today’s conference host, Diana Reardon; please begin.
Diana Reardon: Good afternoon. My name is Diana Reardon and I am Amphenol’s CFO. I’m here together with Martin Loeffler, our Executive Chairman, and Adam Norwitt, our CEO. As previously announced Adam succeeded Martin as CEO on January 1st. We’d like to welcome everyone to our fourth quarter call. Fourth quarter results were released this morning. I will provide some financial commentary on the quarter and Adam and Martin will then give an overview of the business and current trends. We’ll then have a question-and-answer session. The company achieved fourth quarter sales and earnings per share that exceeded the high end of the company’s December 4th guidance. Sales for the quarter were $755 million, down 3% in US dollars and up 1% in local currencies over the fourth quarter of 2007. Compared to the third quarter of 2008 sales were down 13% in US dollars and 9% in local currencies. From an organic standpoint excluding acquisitions and foreign exchange impacts sales in the fourth quarter of 2008 were down 1% compared to sales in the prior year; a very strong performance in a difficult economic environment. At the end of the quarter the company completed the acquisition of a manufacturer of wireless infrastructure antenna solutions with annual sales of approximately $50 million. We’re very excited about the potential created by this excellent addition to our wireless technology offering. Breaking down sales into the two major components, our cable business which comprised 8% of our sales in the quarter was down 19% from last quarter and 12% from last year reflecting a slowdown in spending in broadband cable television markets resulting from current weak economic conditions and difficult credit markets. The interconnect business which comprised 92% of our sales in the quarter was down 12% from Q3. The impact of the economic downturn, customer inventory reductions in response to tighter credit conditions and lower demand expectations, and a stronger US dollar resulted in sequential declines in all end markets. Compared to last year interconnect sales were down 2% in US dollars and up 1% on a local currency basis. Sales declined in the automotive, IT data com and industrial markets and sales increased in the wireless infrastructure, military, aerospace, and mobile device markets. This strong performance in a very difficult economic environment reflects the benefits of the company’s diversity and the strength of its technology. Operating income in the quarter was $142 million compared to $153 million last year and $171 million in the third quarter. Operating margin was 18.9% compared to 19.7% last year and 19.8% last quarter. Operating income is net of stock option expense of approximately $4.5 million or 0.6% of sales in the fourth quarter of 2008 and this compares to $4.6 million or 0.5% of sales in the third quarter of 2008 and $3.2 million or 0.4% of sales in the fourth quarter of 2007. From a sequential standpoint the cable margins achieved 11.2% of sales. This was slightly up from the Q3 level of 11% and down from 12.1% last year. The achievement of cable margins in Q4 above the Q3 level is a result of a positive impact of lower material costs, and operational cost reduction actions being offset by the impact of significantly lower sales volumes in Q4 as sales were down about 19% sequentially from Q3 levels. In the interconnect business margins were 21.4% compared to 22% last year and 22.3% in the third quarter of 2008. The achievement of these strong margins given the current economic environment reduced levels; sales were down 12% from last quarter, is a significant accomplishment. Our operating units around the world have reacted quickly and appropriately to current demand levels adjusting all elements of cost. On a consolidated basis this has resulted in a headcount reduction of about 6,000 people or 17% of our worldwide workforce. Overall we are very pleased with the company’s operating margin achievement and believe that the company’s entrepreneurial operating structure and culture of cost control will continue to allow us to react in a fast and flexible manner to preserve strong profitability in what continues to be an uncertain demand environment. Interest expense for the quarter was $10 million compared to $9.5 million last year and $9.8 million in Q3. The increase over the prior year levels relates primarily to higher average debt levels in the 2008 quarter reflecting borrowings to fund stock purchases. Other expense was $2.7 million compared to $3.5 million in Q4 2007 and $3.3 million in Q3 2008. Other expense is comprised primarily of minority interest expense seized on the company’s receivables securitization program and interest income. The decrease from last year relates primarily to decreases in fees on the company’s accounts receivable securitization program and higher interest income. Effective on 01/01/09 the company will implement statement of financial accounting standard number 160, non-controlling interest. As a result minority interest expense will no longer be included in other expense but will be reported as a separate line on the income statement below net income. Minority interest expense was $2.8 million and $10.4 million for the fourth quarter and full year 2008 respectively. In addition minority interest liabilities of approximately $19 million will be classified as a component of equity going forward. In the fourth quarter the company adjusted its 2008 effective tax rate to 28% from the previous estimate of 29% reflecting the reinstatement of the US R&D credit and a more favorable mix of income. This resulted in a fourth quarter 2008 tax rate of 23.9% when compared to the company’s previous guidance, this added about $0.03 to EPS for both Q4 and 2008. For the fourth quarter and the year 2007 the company’s effective tax rate was 28.8% and 29.5% respectively. We currently expect a tax rate of 28% for the full year 2009. Net income was $99 million in the quarter, approximately 13% of sales. A very strong performance on any industry comparative basis. Diluted earnings per share for the quarter was $0.56, up 2% from last year. Orders in the quarter were $708 million a book-to-bill ratio of approximately 0.94 to 1. The lower book-to-bill ratio in the quarter reflects lower order levels in the second half of the fourth quarter particularly in automotive and communications related markets, resulting from the previously described broad economic slowdown. Before I move on to a discussion of cash flow and the balance sheet I would like to briefly review with you the potential of the impact of the adoption of statement of financial accounting standard 141R on the company. This new pronouncement called Business Combinations is effective for 2009 and changes certain aspects of acquisition accounting from current practice. The primary impacts will be the requirement that certain types of expenses previously considered part of the acquisition price will no longer be considered so and will therefore be expensed in the period incurred. These costs include transaction costs, like legal, appraisal, advisory, and accounting fees, any restructuring costs relating to the acquired entity and any post closing adjustments to any estimated contingent purchase price consideration. As a result when the company incurs theses types of expenses in the future we would plan to separately disclose such amounts in order to distinguish them from normal operating performance. The company continues to be an excellent generator of cash. Cash flow from operations was $171 million in the quarter. For the year 2008 operating cash flow was approximately 115% of net income. Cash flow from operations, cash and short-term investments on hand of approximately $27 million and $16 million in borrowings under the company’s revolving credit facility were used for $25 million in capital expenditures, acquisition related expenditures of $35 million relating primarily to the acquisition of Jaybeam at the end of the quarter and a stock buyback of $150 million in the quarter. In addition to its strong operating cash flow and cash investments of approximately $219 million the company has additional liquidity in the form of availability under its revolving credit facility. The company’s $1 billion facility is provided by a bank group and expires in 2011. Availability under the facility was $207 million at the end of the year. The company has more then sufficient liquidity to meet its needs. Borrowings under the facility at year-end were $778 million of which $650 million is swaps to fixed rates through [inaudible] of 2009 and July 2010. The remaining borrowings are at a spread over LIBOR. The company also has a $100 million receivables securitization program under which $85 million in receivables were sold at the end of the year. From a balance sheet perspective accounts receivable was down 12% from the end of Q3 primarily reflecting the impact of lower sales levels. Day sales outstanding excluding the impact of acquisitions was 72 days at year-end, up two days from September and up three days from prior year-end levels. Inventory decreased 2% from Q3 levels and inventory days excluding acquisition impacts increased to 88 days at the end of the year from 82 days in September and 80 days at the end of 2007. The company will continue to focus on inventory reduction as adjustments to production activity continue in response to lower demand levels. At the end of the year the company recorded an increase in its unfunded pension obligation of approximately $64 million relating primarily to the reduction in the value of pension assets that has resulted from the equity market declines in 2008. The unfunded pension obligation at year-end was approximately $166 million. We currently expect contribution levels to the plan in 2009 to be about the same as they were in 2008. Acquisition related liabilities at year-end were $120 million and relate primarily to contingent performance based payments on prior acquisitions. The majority of these payments are expected to be made in the first quarter of 2009. Debt was $786 million at year-end compared to $722 million last year, about $15 million higher then the end of Q3. The company’s leverage and interest coverage ratios remained very strong at 1.2x and 17x respectively. EBITDA in the quarter was approximately $175 million. From a financial perspective we are extremely pleased with the strength of the company’s execution in a difficult environment. Martin and Adam will now provide an overview of the business.
Martin Loeffler: Thank you very much Diana, and good afternoon. Welcome to our traditional conference call. Thank you all for joining and I hope its not too late to wish you all a happy and successful year 2009. As Diana I will highlight some of the fourth quarter achievements and Adam will then discuss trends and progress in our served markets and provide comments on the first quarter outlook. Some comments on the fourth quarter first, it was truly a very difficult quarter in many respects. But considering the economic environment we are very pleased with our achievements. Sales were down 3% in US dollars and up 1% in local currencies compared to prior year. Our growth in the military, aerospace and even more significant growth in the mobile networks market were offset by reductions in other served markets. Sequentially the sales decreased by 13% in US dollars and 9% in local currencies. In the fourth quarter we experienced a very sudden and severe slowdown in demand across many of our end markets but particularly in the automotive markets and communications related markets. As evidenced by these strong results in this environment we continue to benefit from our strategy to maintain a balanced and diversified market position and from our investments in performance enhancing technologies and products. As Diana mentioned in the fourth quarter at the end, in the last days of the fourth quarter, we completed the acquisition of Jaybeam Wireless. Jaybeam is a company that has a strong presence in the mobile network market and will compliment Amphenol’s strength in that market. The company has approximately $50 million in sales. With operations in the US, UK, and France, Jaybeam further strengthens our technology positions and geographic presence in antennas for mobile network infrastructure. This was a very strong market for Amphenol in 2008 and we anticipate it will continue to be a strong market for us in 2009. This acquisition of Jaybeam is consistent with our strategy to acquire excellent capabilities, complimentary strength the acquisition has created and brings good management to Amphenol. We are truly excited about the growth and the profit expansion potential of this company as part of Amphenol. We are very pleased to see that our profitability and cash flow remain very strong in the fourth quarter despite the significant volume reduction that we experienced between Q3 which was a record quarter at $860 million to the $750 million in the fourth quarter. We achieved 18.9% operating income margins due to a quick cost reduction actions taken during the quarter and as Diana mentioned it was tough but the significant was taken, and swiftly taken to take out about 6,000 employees, a 17% reduction of our total headcount. This action was swiftly taken so that the remaining workforce remains motivated and focused on the markets that we serve as well as on the development of new products and technologies which our customers will definitely need even during this economic downturn. The swift reaction to the lower demand clearly demonstrates the strength of our dynamic entrepreneurial management team and organizational structure. As a result of all these actions EPS increased 2% over prior year to $0.56 a share. This EPS was certainly supported by a favorable tax rate adjustment in the fourth quarter that added $0.03 a share. Another evidence of our financial strength is the net income as a percent of sales which was 13%. Cash flow remained strong in the quarter at $171 million and was applied towards a variety of value drivers as Diana outlined. A quick flashback on 2008 as whole, we are very pleased with the results of 2008. We achieved new records in sales and earnings for the full despite the significant momentum shift experienced in the fourth quarter. We sustained our long-term trend as an industry leading growth and profitability. We further solidified our position across our served markets through advanced technology innovation and our continued diversification. And we responded quickly to the changing demand environment to preserve strong profitability and cash flow. And very importantly we successfully completed the transition of Adam Norwitt to become the Chief Executive Officer of the company as of the beginning of January. I am confident that under this leadership we will see continuity of the implementation of our successful strategies and Amphenol can look forward to a very prosperous future under his leadership. I will continue as Executive Chairman and that includes being a corporate officer as well as the Chairman of the Board to support our mission to achieve our long-term goals and objectives. Adam will now comment on the trends in our served markets and on the outlook on the first quarter of 2009.
Adam Norwitt : Thank you very much Martin and Diana, and I would also like to add my New Year’s wishes to all of you on the phone here today. In my new role I look forward with a great deal of enthusiasm to leading the outstanding management team of Amphenol to continued success in the future and the fourth quarter that we have just completed demonstrates once again the value of our strategies. Those strategies to pursue market diversification with leading interconnect technology and do that all within accountable entrepreneurial management structure . If we look at that diversification and individually look at these markets, I’ll go over those first. The military and aerospace market for Amphenol represented 21% of our sales in the quarter. Sales increased in that market a strong 6% over prior year. Demand remains stable in the military aerospace market driven in large part by continued military equipment deployment and refurbishment including with ground vehicles as well as new communication systems upgrades. We do see that distributors and certain OEM customers have become increasingly conservative with their inventory positions in light of credit concerns and general economic conditions and thus while we see that certain segments of the aerospace market can be effected by the general economy we believe that our broad program participation supports a positive outlook for 2009 and beyond. In this market we are especially excited about our new initiative in South Africa to provide value add interconnect for military vehicles. We believe this plants once again another seed in the new geographical region for Amphenol upon which we can build a further base of operations. Turning to the industrial market which represented 12% of our sales in the quarter sales decreased in that market by 12% from prior year. In the industrial market we had OEM program gains in energy related and rail [mass] transit applications but which were more then offset by reduced demand in other segments of the industrial market. While we expect that these growth segments especially energy and mass transit will maintain momentum into the future we believe that there is an overall impact of the general economic slowdown to the industrial market which will moderate demand in the near-term. The automotive market represented for Amphenol only 4% of our sales in the quarter. Sales declined 34% from prior year in a widely reported and dramatic reduction of demand in that market. We experienced a very sudden reduction of demand in the fourth quarter with especially pronounced slowing in vehicle production which was augmented by extended year-end shut downs that were implemented by most vehicle manufacturers as well as those other suppliers in the supply chain. Clearly the near-term outlook for vehicle production level is uncertain and lower then it has been in the past. Nevertheless we remain encouraged by the longer-term outlook in this market due to the increased electronics in cars as well as our growing participation on new hybrid and electric vehicle platforms. Turning to the broadband market this market represented 9% of our sales in the quarter. Sales decreased 6% from prior year although currency had a significant impact. In local currencies that market actually grew marginally. As expected and as we typically see demand was seasonally slower in the fourth quarter as we would that seasonality to continue into the first quarter of 2009. In addition we believe the credit availability continues to effect customer buying patterns which do remain somewhat more uncertain then we have seen in the past. The IT and data communications market represents our largest market in the fourth quarter at 23% of our sales. Sales decreased in that market a modest 6% from prior year which was due to reduced IT investment as well as several moves of inventory reductions that we have seen in the supply chain. We believe that we will see further slowing of demand in many segments of the IT market. Nevertheless we continue to expand our position in that market with key customers through a broad offering of leading technology complete interconnect architecture. Amphenol continues to offer the leading edge high-speed technologies that continue to draw our customers to Amphenol to work in concert on next generation applications. The mobile networks market which represented 15% of our sales in the quarter increased a very strong 15% over prior year. We continued to benefit from strong demand in site installations, especially in emerging markets as well as from a broad presence on high volume and next generation equipment platforms. Amphenol has been successful in selling a broad portfolio of products into a broad range of customers in this market and we believe our technology position bodes well for the future and our participation. While we do expect a seasonal moderation of demand in the first quarter we’re encouraged by continuing momentum in emerging markets including especially the expected launch of 3G networks in China as well as new efforts in other emerging markets. The acquisition of Jaybeam Wireless which Martin mentioned adds a new element of high technology as well as new geographical presence to our participation in the base station site installation market. The market for mobile devices represented 16% of our sales in the quarter. Sales in that market were flat in US dollars but also currency had again a very significant impact which nearly double-digit growth versus prior year in local currencies. We had a growth of innovative new products which was offset by what we would deem as seasonably atypical reductions in end demand as well as by inventory adjustments that were made by operators and OEM’s particularly towards the end of the fourth quarter leading into the beginning of the first quarter. We expect further slowing in the first quarter as customers react to normal seasonality coupled with some fear of softening end demand in the supply chain. Nevertheless we continue to be well positioned with leading technologies across the broadest range of customers and phone model bases so that we will certainly enjoy growth in that market as it materializes. In summary I and we are very proud of our organization as we continue to execute well and outperform the market while continuing to generate strong profitability in what can only be deemed an extremely challenging and slowing demand environment. In such an environment Amphenol’s distinct competitive advantages will serve us well; our leading technology, our increasing position with customers in diversified markets, our worldwide presence, our lean and flexible cost structure, and very importantly in a time like this our dynamic entrepreneurial management team. While forecasting market conditions has become even more challenging over the last quarter we are very confident in the ability of our organization to meet the challenges and to take advantage of the continuing opportunities that we see in front of us today. Considering the economic conditions we do anticipate further moderation of demand in the first quarter of 2009 and are therefore not comfortable predicting market conditions beyond the first quarter. Accordingly we are providing now guidance for the first quarter of 2009 only. Based on stable of currency exchange rates we expect the first quarter of 2009 the following results. We expect sales in the range of $650 million to $665 million, and we expect earnings per share in the range of $0.39 to $0.41. We are very confident in Amphenol’s future and we are very confident that as our organization continues to take the necessary actions to preserve profitability as well as to capitalize on the many opportunities that we still see to expand our market position, Amphenol will continue to excel regardless of market environments. Thank you very much for your interest in the company and at this time we are ready for your questions.
Operator: (Operator Instructions) Your first question comes from the line of Amit Daryanani – RBC Capital Markets
Amit Daryanani – RBC Capital Markets : On the 17% headcount reduction in Q4, how much of that reduction was actually just from hourly employees versus full time and could you talk about what sort of charges may have flown through the model to reflect this headcount reduction.
Diana Reardon: We don’t necessarily want to get into the details of exactly all of the types of reductions that were made, what I would tell you is that we made reductions on an operation by operation basis that were commensurate with the demand levels that we saw and will tell you that those reductions would have been both in direct labor and in indirect functions as we felt was appropriate for the particular business. I think that these actions were taken in response to lower demand levels, our operating management has been I think very responsive in terms of trying to adjust the structure to the demand levels that they see. Whenever you have to make these types of adjustments particularly with the quickness and steepness of the demand reductions we saw on a month-by-month basis in the quarter there are of course certain costs that result. There are inefficiencies as you can imagine. In the factories there are also in some cases severance charges that have to be paid. We believe these costs are an astragal part of the operating costs of the business. We work hard to minimize these costs and we therefore really don’t consider them to be one-time in nature either for internal or for external reporting and so to quantify those now we don’t think really would be an appropriate thing to do. We certainly did have some costs in the fourth quarter and we’ll most likely have some costs also in the first quarter and that is considered in the guidance that we gave. We feel that the margin achievement in the quarter which was about a 27% negative conversion from Q3 given the level of demand change from the two quarters it was really significant accomplishment and certainly feel that we’ve made all the adjustments from an operating standpoint that make sense.
Amit Daryanani – RBC Capital Markets : Let’s just say revenues remain around the $650 to $670 million run rate for the next few quarters where do you anticipate margins starting to stabilize for you and given all the headcount reductions you have done, what sort of revenue run rate would you need to get back to 20% margins, you were at 19.8, 19.9 on $850 million run rate two, three quarters ago.
Diana Reardon: I think you can go back and look at the historical volume levels and where profitability was. I think the ROS level we just achieved in the fourth quarter was extremely strong and I think shows the capability of the business to react to sudden and severe changes in demand. I think the guidance we just gave for the first quarter further demonstrates the same thing. Our goals have not changed. Our goal is still 20% ROS and 25% conversion margin. Clearly in the current demand environment those goals would be not something that anyone should expect would be met but the actions that we’ve taken we feel have preserved profitability at an extremely high level and we will continue to be able to achieve very strong profitability irrespective of the volume levels.
Amit Daryanani – RBC Capital Markets : Would it be reasonable to think you can get back to the 19.8 19.9 on lesser revenues on the 850 you did in the past. Diana Reardon I think you can see what we just achieved in the fourth quarter, you see what we guided for the first quarter. We’re very good from an operating standpoint but I think to expect us to achieve 20% ROS levels at this volume level would not be a reasonable expectation.
Amit Daryanani – RBC Capital Markets : Just given the Nortel bankruptcy yesterday can you talk about AR and if any exposure you have to Nortel if you could quantify that.
Diana Reardon: Nortel is certainly a customer for us in a couple of our markets. I would tell you that on a consolidated basis we would not expect their bankruptcy filing to have a material effect on us. We are a supplier of high technology products to Nortel. We’re certainly working with them as they look to work themselves out of the current situation that they’re in and we certainly wish them much success in that process but the event of the bankruptcy itself would not have a material effect on us.
Operator: Your next question comes from the line of Jim Suva – Citigroup
Jim Suva – Citigroup: When we look at the reduction to right size the workforce with the labor and the employee reductions, those are always difficult to do, can you talk a bit about the linearity of how those progressed. It seems like the second half of the quarter deteriorated from macro conditions a little fast so should we expect that the full benefit was not reaped in calendar Q4 and going ahead that there may be some more synergies from that.
Diana Reardon: I think as you say clearly we saw some change in demand patterns during the quarter which is why we revised our guidance on the 4th of December so it is true that the headcount reductions would have mirrored what we saw from a demand standpoint so yes there were more taken out towards the end of the quarter then there were in the beginning of the quarter. But what I would tell you is that those reductions came as we saw demand come down so I think there’s some relationship between appropriate cost levels and appropriate demand levels. And we move in the first quarter now with guidance that indicates a further reduction in demand so I think that we have made appropriate adjustments as demand has declined and there were some adjustments made early in the first quarter and so certainly there are pluses and minuses in the income statement that results from that. I think again we view these as a normal operating cost when you have to take these kinds of actions so I don’t know that we want to be adding and subtracting things to the income statement as a result of that. I think our guidance in the first quarter reflects the fact that we have adjusted headcount appropriately to volume levels and as I said the floor, there is some cost certainly that’s associated with that. That is already reflected in our guidance.
Jim Suva – Citigroup: Regarding the 144R change, can you give us, I sense that some investors may be a little concerned now that the earnings volatility from your reported versus your guidance quarter may see a little bit volatility now that we’ll be expensing the legal and transaction costs, can you let us know maybe last year of what those transaction costs would have been or how much of an EPS impact those would be so we can prepare for a magnitude of potentially some more volatility.
Diana Reardon: Its hard to know exactly what the cost will be because obviously it depends upon how many transactions are done and what the size of those of those transactions would be. Typically on the smaller transactions the amounts aren’t huge but it could be in the range of $2 million, it really depends upon how many transactions there are and what their size is. I think what we plan to do is as we incur these expenses we will cite them out, we will tell you what they are and hopefully that will help from an understanding standpoint and they won’t therefore be just mixed in with operating results.
Operator: Your next question comes from the line of Steven Fox – Banc of America
Steven Fox – Banc of America : I think you mentioned a couple of times that you viewed it as a slowing demand environment, and I know you’re not providing full year guidance but are there certain markets that you feel going into this quarter are more stable then others and which ones do you have a worse sense for as that can be more volatile over the next couple of quarters.
Adam Norwitt : I think certainly there is a real diversity in the various markets. I think that we feel stable in terms of the military aerospace market, industrial market, we think that what we hear from customers is especially relative to mobile devices and wireless in general that there is usually some seasonal softening in Q1 and we would expect that to hold true if not even a little more this year with inventory corrections and relative to the IT and data com markets that one also seems to have a combination of end demand as well as some inventory corrections which lead that to be somewhat slower then you would even normally see in a given year.
Steven Fox – Banc of America : Industrial, where would you rank in the group.
Adam Norwitt : I think industrial is somewhat more stable on a sequential basis.
Steven Fox – Banc of America : I know you touched on receivables but when you look at collections or terms with your customers are you seeing any problem collecting at this point, would you say that the credit environment is not going to have a major impact on your ability to collect from your customers, how would you characterize the tight credit environment at this point.
Diana Reardon: I don’t think it will have a major impact but clearly it does have some impact because I think there is a tendency certainly for everybody to want to pay slower because of the environment and keep as much of their own cash as they can. We had a couple of day increase so at the end of the quarter I still feel pretty good about what we achieved given the global nature of the company. But I think we’re certainly paying a lot of attention to receivables and our operating people are measured as you know also on cash and in times like these I think its appropriate to pay a bit more attention, but I wouldn’t expect that we would have a major deterioration relative to collections.
Operator: Your next question comes from the line of William Stein – Credit Suisse
William Stein – Credit Suisse: Any issues relative to suppliers or competitors in the quarter?
Adam Norwitt : Do we have any risks with suppliers going out of business? None that we would deem material. We are as many do, we have a multiple sourcing strategy with all of our suppliers and we also maintain a balance of capabilities both in-house as well as outsourced so that we can flex that outsource capability when necessary and bring it in house when appropriate. We don’t see any material risks with suppliers. Obviously we keep close to all of our suppliers to make sure of that.
William Stein – Credit Suisse: I’ve spoken to some industry participants who are talking about some smaller companies who are going away and I’d like to hear if you’re seeing that and if so whether those might be private label suppliers or is there more OEM customer facing competitors.
Adam Norwitt : What I would say to that is it is true that in a market like this, just as it was in 2001 maybe even more so this year with the credit situation, is there are some competitors, small, medium, large, who may have challenges. What we have seen among customers what I would deem a real flight to quality and by quality I mean flight to a strong financial companies and this really plays well for Amphenol. I think we are being recognized increasingly by our customers for our financial strength which you know, normally you would not advertise so much your financial strength to a customer who wants a price reduction but in this environment it turns out that that is really a positive to many customers so I think from a competitive standpoint it’s a positive for Amphenol that there may be these risks and there are these risks and we certainly are going out to be in front of the customers as frequently as possible to show them our continued strength and vibrancy even in a difficult market environment.
William Stein – Credit Suisse: Wondering if you can comment on the M&A pipeline and with regard to Jaybeam did it contribute anything in the current quarter.
Adam Norwitt : As Martin mentioned we closed it really right at the very end of the quarter so there was no contribution to the results in the fourth quarter. Our pipeline as always continues to have a lot of names on it and we think it’s a very good pipeline. Again we have very little ability to predict when entrepreneurs and sellers in the end want to sell their companies. I think we see still strong opportunities and we continue to focus very heavily on that M&A pipeline and we hope to continue to complete deals in the future but really are unable to say when that would be.
Operator: Your next question comes from the line of Carter Shoop – Deutsche Bank
Carter Shoop – Deutsche Bank : Relative to the expectations back in October did any end market actually perform better then what you’re expecting and then also comment on maybe which the one or two weakest end markets were versus original expectations.
Adam Norwitt : I think its safe to say that none of the markets performed better then we had expected in the fourth quarter. The economic environment seemed to have somewhat of a more all encompassing impact so I think that we didn’t necessarily see.
Carter Shoop – Deutsche Bank : And then in regards to one or two end markets that were even weaker then the others relative to expectations back in October, did any stand out?
Adam Norwitt : Well I think as mentioned the automotive and the mobile device markets in particular seemed to have a more pronounced slowdown in the quarter which we mentioned also in December and certainly materialized as our revised expectations forecast.
Carter Shoop – Deutsche Bank : In regards to 141R based on expectations right now what kind of purchase price adjustment would you expect to see in 1Q09 from already completed acquisitions.
Diana Reardon: There wouldn’t be any adjustment from already completed acquisitions, what I mentioned the rules regarding, we sometimes structure our deals with contingent earn out payments which allows the entrepreneur to have a future participation in the management and performance of the business. In the past those amounts would go to goodwill once they were known. The new rule that will be effective essentially requires you estimate them at the acquisition date and then to the extent they’re different that difference would hit the income statement. But that is only effective for acquisitions that would be closed on 01/01/09 or later so previous acquisitions would not be effected.
Operator: Your next question comes from the line of Shawn Harrison – Longbow Research
Shawn Harrison – Longbow Research: Getting back to the acquisition pipeline have you seen valuations start to come in on the companies you’re look at yet or is that still a point of contention.
Adam Norwitt: No I think its safe to say that market multiples have certainly declined somewhat over the last year and I think entrepreneurs and company owners recognize that and so they’re certainly, we would have somewhat different expectations for valuation. That being said we’re not always buying companies that would be necessarily publically traded companies. These are small companies where there is usually a meeting of the mind on valuation and we have not been the company in the past who has overpaid for acquisitions certainly and so I think we still look very prudently at price but the context of the market environment certainly puts more downward pressure on it then upwards.
Shawn Harrison – Longbow Research: Just looking at cash flow usage in 2009 could you ballpark where you think CapEx would be and then if my math is right, maybe there’s four million shares left under the repurchase authorization would you look to re-up that if you completed that say during the first half of 2009.
Diana Reardon: I think from a CapEx standpoint in the last couple of years we’ve probably spent around 3.5% of sales, I would think that in the current environment could be more like 3% of sales type of spending so we may spend at a slightly lower level with most of that spending being tooling and test equipment things like that that have to do with new products development. In terms of the stock buyback program I think there is a little less then two million shares left and I think we will be in the near-term taking a look at the program.
Shawn Harrison – Longbow Research: Regarding both raw materials as well as the pricing environment you’re seeing, from what I’ve been told it sounds like there were some price increases that came through the interconnect market to begin the year, but maybe your expectation for connector pricing during say the first half of 2009 as well as the full year and then the benefits, when would you expect in the roll on from the lower copper cost that started to roll off significantly in the middle of 2008 have continued before leveling off here recently.
Adam Norwitt: Relative to the raw materials, certainly we’ve seen certain commodities come down, not all. We’re still mindful that gold is a very important commodity for the connector industry and for Amphenol and that has remained in the sort of $800, $850 level. But there have been significant declines in others, copper, aluminum, and some of the petro chemical derivative products. We have started to see some flowing through of the benefits. Certainly we have inventories in stock and we have to work with our suppliers to achieve those. It’s a very high priority for our management team to achieve gains on raw materials with our vendors. Many of the products that we buy are not actually just raw materials but rather they’re materials that have had some conversion or some value add to them. So its not necessarily a one to one relationship between the LME price and the price that we pay. Nevertheless we work very, very hard across all of our organization. It has a lot of management intention to realize gains from those raw materials and we would certainly expect to see some of them flowing in the first quarter and maybe start to see those already coming from the fourth quarter. Relative to pricing we see in an environment like this where total demand falls, you can only expect to see price pressure be exacerbated. I think there is no question that customers are going to be hungry and the competitors may be hungry even more and so what we will do is, we will have a lot of discipline in pricing but we are going to make sure that our cost is aligned so that we can meet those competitive pricing threats. And we will continue to do what Amphenol always does which is to inject technology into our products where we can sell on value rather then just selling a commodity that is priced in a market and so pricing will be a very important focus for us this year but it would not be an unreasonable assumption to think that there’s going to be significant pricing pressure this year versus the year prior.
Shawn Harrison – Longbow Research: In your opinion do you think the potential for lower raw material costs can offset the pricing pressure element that is likely going to be out there.
Adam Norwitt: Its very difficult to say. Again many of our raw materials do have a lot of conversion to them. Not every raw material is going down but you would expect that we are going to drive very, very hard to have that offset. We certainly don’t want to take that punishment for pricing into our own pockets.
Operator: Your next question comes from the line of Brian White – Collins Stewart
Brian White – Collins Stewart : On the acquisition if you can give us a little color into the type of technology base stations, the products are being sold into, this GSM, some of the TDF TDMA in China or what exactly is it focused on.
Adam Norwitt: Jaybeam are a manufacturer of base station antennas, a business which we’ve been in for quite some time and have a strong position in North America as well as in Latin America. They have next generation technology which is used in third generation systems in many regions as well as in GSM systems. The antenna is not necessarily tied to the modulation type whether that be GSM, CDMA, or TDSCDMA, and so we have technology that can enable us to participate really in multiple platforms for next generation and current generation.
Brian White – Collins Stewart : On the price, you spent $35 million in the quarter but that wasn’t entirely for Jaybeam, is that correct?
Diana Reardon: There were some payments that related to some prior acquisitions with the majority of the fourth quarter expenditures is related to that acquisition.
Brian White – Collins Stewart : Do we have other payments for Jaybeam in 2009?
Diana Reardon : There may be some incremental payments depending on performance. Brian White – Collins Stewart When we think about 2009 in terms of the different markets what markets do you feel more comfortable can actually grow and what markets are you very certain will be very difficult to grow in 2009.
Adam Norwitt: I think if we’re not giving guidance for the full year this time for a very clear reason which is its very difficult to say beyond the next three months what market conditions will be. I think as we look into the first quarter we certainly feel better about for example the military aerospace market and the industrial market then we do about the mobile phone or the IT and data com markets. I wouldn’t be the one who would stand up and guess where the automotive market is going to go certainly but we would hope that that has gone as low as that could go but its really hard to forecast that. I wouldn’t want to point to one or another market for the full year though.
Brian White – Collins Stewart : And if we think about the mobile phone market typically what type of decline do we see in the March quarter and what do you really expect to see this year.
Diana Reardon: I think last year if we looked I think we saw sort of a mid double-digit type of decline and that I think was pretty normal type of market trend. We expect to see something significantly in excess of that. Could see twice that. From a demand standpoint certainly not a normal Q1 in any market.
Brian White – Collins Stewart : So it could be down 30%.
Diana Reardon: Its hard to say. We don’t forecast by market but a normal seasonal trend would be a 15, 16%, and we would expect it to be significantly in excess of that.
Operator: Your next question comes from the line of Matthew Sheerin – Thomas Weisel Partners
Matthew Sheerin – Thomas Weisel Partners: Just to get back to your commentary about inventory and inventory reduction at customers particularly in military and aerospace where you have a higher proportion of distribution sales it looked like as you stated the distributors were very cautious on inventory, what was your sense of the sell through at distribution and your sense of distribution inventories this quarter. How long is it going to take before actual sell in equates to sell through for distribution.
Adam Norwitt: I think the sell through and distribution was stable. We haven’t seen any dramatic declines in sell through. I think many of our distributors are just in light of the credit crisis being very prudent with their assets and their balance sheet and inventory is the number one asset that they carry. I wouldn’t want to guess how their credit situations will be here in the first quarter but I think we would expect it to stabilize and I think our expectations for the aerospace market are to be somewhat more stable here in terms of that relationship.
Matthew Sheerin – Thomas Weisel Partners: Could you just restate what you said the book-to-bill was at the end of the quarter.
Diana Reardon: The book-to-bill was 0.94 to 1, order were about $708 million or so in the quarter.
Matthew Sheerin – Thomas Weisel Partners: And has it changed much since then?
Diana Reardon: We don’t report orders in 10-day increments. In terms of Q1 as you probably know January and February tend to be pretty quiet anyway and then March is the big month.
Matthew Sheerin – Thomas Weisel Partners: I guess my question was related to just the visibility and we’ve had a handful of larger semiconductor suppliers announce this week already and the guidance, very big ranges because everyone said if this could be much more backend loaded then it normally is even in the March quarter and just getting a sense of your comfort level with your guidance where the range really wasn’t that wide.
Adam Norwitt: I think this year, Chinese New Year is quite early so January no one would expect January to be a real blow out of a month here so I think to say the quarter would be more backend loaded is probably a safe assumption.
Matthew Sheerin – Thomas Weisel Partners: On the cost-cutting program and the headcount reduction did you do that based on an internal budget for revenue expectations for this year and at what level or what kind of drop off in sales would you require another round of cuts.
Adam Norwitt: I think to understand how we go about this our management structure is based on people in the field who run operations who talk to customers and run factories at the same time and they will adjust their costs based on what they hear from their customers. And so we’re not taking sort of a macro view on things and making decisions about total headcount. Rather each individual operation is looking at the market situation that they face in the here and now and they’re not guessing where its going to be three or six months but rather they see what they see with the orders that are flowing in the door and then they take appropriate actions to make sure their organization is sized for that level of business. We’re not looking out three months, six months ahead on a macro basis and saying what should we look at.
Operator: Your next question comes from the line of [Asmid Possey – UBS]
[Asmid Possey – UBS]: Where would you say the upside surprise was relative to your revised guidance that you gave in December that you just reported.
Adam Norwitt: What I would say is that everybody in the company worked very hard. We certainly had a challenge internally to do better and everybody really rallied strongly in the organization to make sure that we could secure our position with our customers and ship product to them. I wouldn’t necessarily point to one or another market that would do that and there is just a tremendous amount of uncertainty in the market at the time that we gave the guidance as well and we feel very good that our team was able to have a strong push to finish with these good results.
[Asmid Possey – UBS]: In the past you’ve talked about priorities with respect to using your cash or managing your capital structure, in this environment would debt paydown maybe move up with respect to your priorities relative to acquisitions and buying shares or is it pretty much the same order with your emphasis being on acquisitions first.
Diana Reardon: I think the emphasis definitely is on acquisitions first. This provides the best short-term and long-term return for the company. It’s a very important part of our strategy so and the company is just a really a terrific cash flow machine. We generate a lot of cash from our strong profitability. I think we have availability under our revolver. We have cash. We have certainly sufficient resources to not have to change the priorities for the deployment of that cash.
[Asmid Possey – UBS]: Did you disclose the number of shares you bought back in the quarter.
Diana Reardon: In the quarter we bought back about six million shares.
Operator: Your next question comes from the line of Unspecified Analyst – Sentinal Asset Management
Unspecified Analyst – Sentinal Asset Management : Could you comment on the share [inaudible] where, in what areas you might have gained share and which you may have lost shares and also on the [inaudible] in terms of your designs.
Adam Norwitt: I think we feel strongly that we have gained position really in all the markets that we participate in. I wouldn’t point to one to say that it was a share loss. I think certainly our technology which in all of our markets is the basis of how we expand our position with our customers. We continue to have a strong focus on innovation and technology and what we see is that in bad times customers demand even more a partner who can enable their technologies so that they can continue to innovate their products because they need also to gain share. So these are the times where we believe that our technology position can truly be even more of a differentiating factor then it has been in the past.
Unspecified Analyst – Sentinal Asset Management : On material cost you mentioned that you still have some inventory left of higher material costs, when do you think that may flow through the P&L and when you might start to see the benefits of lower material costs actually helping your margins, is it in the second quarter or third quarter of this year.
Diana Reardon: I don’t think that anyone should expect a windfall to come through margins from lower material costs. As we said earlier, pricing environments and cost environments tend to go hand in hand. We’re also in an environment with lower demand and so I think these things on balance tend to wash out. I think that margins are managed through a large number of different types of costs reduction actions by ensuring that new product development and the high technology products that we work so hard on keep flowing in through the sales stream and so those things I think are the things that drive margins. We may have some lower material costs we may also have more price pressure as we move throughout the year.
Unspecified Analyst – Sentinal Asset Management : Is it reasonable to assume that the margins may have been flattish in that case.
Diana Reardon: I think we don’t talk about margins specifically. We’ve given guidance for the first quarter that has a certain inherent profitability level in it and I would look at that and our historic performance if you want to look at the margin trend.
Operator: Your next question is a follow-up from the line of Amit Daryanani – RBC Capital Markets
Amit Daryanani – RBC Capital Markets : On the acquisition front you talked about cash being extremely important to everyone at this point, given that what’s the appetite to do possibly a larger deal like [Tyradyne] versus continue to do smaller deals the way you have typically done.
Diana Reardon: I think it would really depend on the opportunity that presented itself in the widest possible range. What business was available, what price it was available, at how we viewed it from a complimentary technology standpoint, what avenues we may have in terms of how to finance that price. I think that from a strategic standpoint we certainly would look and consider whatever opportunities came along and try to make a good decision as to whether they meet our criteria and want to move forward with them.
Amit Daryanani – RBC Capital Markets : Just the inventory number, it was down about 2% sequentially, how much inventory did you get from the Jaybeam acquisition and also what was the drop organically on a local currency basis.
Diana Reardon: The 2% drop that I talked about was on a consolidated basis and our days went up about six days so that may give you some sense of, and those debt day computation is without the acquisition so that may help in terms of trying to do that math if you want to try and find out an exact number.
Amit Daryanani – RBC Capital Markets : I think you talked about FX being flat in Q1, sequentially its going to be flat which would mean year-over-year about a $25 million headwind, is that a reasonable assessment.
Diana Reardon: That’s probably a reasonable assessment.
Adam Norwitt: Thank you all very much. We truly appreciate all of your interest in Amphenol and I wish you once again a very happy and a very successful 2009.